Operator: Good morning. My name is Jessa, and I will be your conference operator today. At this time, I would like to welcome everyone to Anaplan Second Quarter Fiscal 2020 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator instructions] Ms. Edelita Tichepco, Vice President, Investor Relations, you may begin your conference.
Edelita Tichepco: Good morning, and thank you for joining us on today's conference call to discuss Anaplan's second quarter fiscal year 2020 financial results. Joining me on the call are Frank Calderoni, our Chief Executive Officer; and Dave Morton, our Chief Financial Officer. On this call, we will be making forward-looking statements, including financial guidance and expectations for our third quarter and fiscal year 2020, anticipated future operating and financial performance, strategies, customer demand, product and technologies. These statements reflect our best judgment based on factors currently known to us, and actual events or results may differ materially. Please refer to documents we filed with the SEC, including the Form 8-K filed with today's press release. Those documents contain risks and other factors that may cause our actual results to differ from those contained in our forward-looking statements. These forward-looking statements are being made as of today, and we disclaim any obligation to update or revise these statements. If this call is reviewed after today, the information presented during this call may not contain current or accurate information. We will also discuss non-GAAP financial measures, which are not prepared in accordance with generally accepted accounting principles. Unless otherwise stated, during the call, all references to our gross margins, expenses, and operating results are on a non-GAAP basis. For historical periods, a reconciliation of GAAP and non-GAAP results is provided in the press release and in supplemental financial information on our website. We're planning for today's call to last approximately 45 minutes, and we'll do our best to accommodate your questions following our prepared remarks as time permits. And with that, I'll now turn it over to Frank Calderoni.
Frank Calderoni: Thanks, Edelita. Good morning, everyone. I'm very pleased to share the results of another strong quarter. Our execution demonstrates the impressive progress we are making in scaling our business, continuing to accelerate our momentum, and going after every opportunity to ensure we maintain our leadership in the Connected Planning space. This quarter, we reached $85 million in revenue, growing 46% year-over-year. This confirms the strength of our Connected Planning platform and demand fueled by digital transformation taking place with many of our existing and prospective customers. We experienced success in a number of our strategic areas, including driving further customer adoption through a highly successful User Conference held this past June and in elevating the user experience through the announcement of our new UI, mobility, and intelligence platform. We are also seeing continued momentum with our customers, both existing and new. Our new customer acquisition was strong as we ended the quarter with over 1,250 total customers. We now serve approximately 300 customers with over $250,000 in annual recurring revenue, growth of 40% year-over-year. As a testament to the increasing awareness of the value of Connected Planning, we continue to see strength in our top 10 deals, which average well over $0.5 million. One of them was a multimillion dollar deal with a Fortune 50 company experiencing rapid growth and transformation. This customer is investing in operational infrastructure to effectively manage scale using Anaplan across several use cases within the sales organization. This is critical area for them and they plan to significantly grow their sales capacity over the next several years. We are also experiencing significant opportunity in supply chain as one of the growing areas where our platform is in demand from our customers. This quarter, we signed one of the largest retailers in Asia Pacific with over 3,000 stores and 200,000 employees. This leading retailer will use our platform to manage their assortment planning model, which handles over 150,000 SKUs across 100 different product categories and they will have the capacity to rapidly model new product introductions outside their existing transactional systems. This enables them to respond quickly to changing market demand while remaining coordinated with the open-to-buy merchandise financial plans and transactional data. This example shows that more and more companies are focused on transforming their operational planning, driving agility, and competitive differentiation in their sectors. From a go-to-market perspective, we continue to see strong contributions from our partner ecosystem with impressive results. The number of partner transactions closed is increasing each quarter and the deal sizes are also expanding. For example, the average deal size of GSI-originated opportunities has grown steadily each quarter from $100,000 a year ago to several hundred thousand dollars this quarter. In the U.S., Deloitte recently announced plans to double the number of consultants, delivering Anaplan Solutions over the next year. We also announced an alliance with Ernst & Young adding to the partner ecosystem. The EY alliance will focus on planning functions in the financial services, health, life sciences, and consumer products industry. Our joint efforts with our partner ecosystem are clearly driving results and we are still only at the beginning of realizing the significant potential of what it will bring to our customers, partners, and Anaplan. In EMEA this quarter, we landed a new account with a leading telco and network provider. Our partnership with Deloitte and the expertise with Anaplan and digital transformation were key to the customer's decision. This customer is embarking on a finance digital transformation to drive agility and increase bottom line results. They are moving from a legacy planning system with over 50 offline disparate models to Anaplan’s single cloud-based planning platform. Over several hundred employees will use Anaplan to run driver-based scenarios that will enable them to more accurately forecast based upon changing marketing conditions and by leveraging ML/AI technologies. Our BYOK high-end encryption capability will also ensure customer compliance with increasingly regulatory requirements as the customer serves government agencies, military, and emergency services. This is a great example of how our joint Anaplan Deloitte team was able to provide unique value to our customer. In Japan, our partners are rapidly expanding their Anaplan practices and realizing significant growth in services related to advising and implementing Anaplan in their customer base. I was recently in Japan where I met with a number of CIOs of large global Japanese companies. There are significant opportunities for us with our partners as Japanese companies are driving operational efficiencies. They are digitizing their business processes and maturing their digital transformation efforts as they are trying to much more efficiently manage their resources. We are working closely with a great group of partners like Accenture, Deloitte, PwC, and QUNIE in Japan offering a complete end-to-end solution as a strategic competitive advantage. What really differentiates Anaplan is that once customers realize the ease of use of our platform and the quick adoption, which usually occurs within weeks, they get to experience incredible value. This helps them adapt, react, and pivot in a very disruptive and tumultuous time in their industry and we become the platform of choice. Once they choose us, they quickly understand the power of the honeycomb effect. We are impressed with how our customers are immediately grasping the concept. We had a new customer create their own honeycomb within one-week after selecting us due to the value of what they can create within our platform. They had 25 potential use cases just in our sales line of business. We identified 24 additional use cases with a very large Fortune 50 company from their initial eight within operations, finance and HR. This included use cases such as incident backlog planning, scheduling optimization, recruitment capacity, and customer-facing KPIs. During our most successful Global User Conference, our Connected Planning Xperience demonstrated the power of educating our end users on Anaplan experts. We are providing users with the expertise and knowledge to help them become even more successful. We celebrated our best Master Anaplanners at CPX and we are pleased to announce that we now have over 300 certified Master Anaplanners. We are adding expertise and leadership to our fast growing Anaplanner community and expect to substantially accelerate the number of certified Master Anaplanners. A trend we noticed is that the more experts we create, the greater adoption and broader use of our platform. Several years ago, we launched this concept referred to as the Center of Excellence or CoE. The purpose of a CoE is to make sure transformational business planning is fully realized and self-sustaining. CoEs are our customers’ internal teams to dedicate and maintain and expand Anaplan. The number of customers with the CoE is growing and we continue to invest in scaling this further through our internal enablement efforts and the customer facing self-service resources published on our community site. Customers with certified Master Anaplanners generate more ACV than customers without, a multiplier which is increasing over time, and we found that customers with both a certified Master Anaplanner and a Center of Excellence generate over 5x more ACV than those with neither. We are also being recognized externally by industry analyst. IDC recently published their annual report, world-wide enterprise performance management application software market share where Anaplan was listed as the first industry shaper. We were recognized with the fastest growth rate among the top 10 players. We were also named a leader in the Gartner Magic Quadrant for Cloud Financial Planning and Analysis Solutions of Differentiation for a third consecutive year because of our proven enterprise readiness, intelligent planning capabilities and high customer satisfaction. From a product perspective, this quarter we announced our new platform user experience and new mobile app. The new modern user interface includes highly customized views and reports that facilitate personalized experiences for every user of the platform and our workflow improvements include guided experiences for quicker execution. Finally, the mobile app enables decision-making on the go, taking planning from behind the desk and moving it to the field and front lines of the business. Our goal was to further increase efficiencies around planning processes and extend the reach of the platform. Finally, we are very excited to announce that we have signed an agreement to acquire Mintigo, an Israeli-based company with an AI-powered, customer engagement platform that provides predictive analytics for marketing and sales. Mintigo brings strong expertise in data science and machine learning automation. Mintigo’s exceptional talent will strengthen our position as the leader in the category of Connected Planning by augmenting and elevating the predictive capabilities of our solutions while accelerating toward our vision for an AI enabled platform. We also believe the Mintigo team is very well aligned with our culture. We expect to complete this transaction by the end of the quarter subject to closing conditions. We are very excited about this moment in time for Anaplan. Since our IPO left fall, the momentum in our business has been extremely consistent, reinforcing the value and market demand for Connected Planning. We are hitting our product and operational milestones and I am feeling very confident with the way we are executing as we continue to grow very quickly. We have built a world-class leadership team, including the recent addition of Mark Anderson as our Chief Growth Officer. And with the acquisition of Mintigo, we will leverage their talent and technology to enhance our predictive capabilities across the Anaplan platform. We wouldn't be here with our investors, employees, partners, and customers. I think everyone who continues to be very supportive of our mission as we believe we are in the early stages of Anaplan’s long-term success. Now let me turn the call over to Dave, who will discuss our second quarter financials and outlook for the third quarter and fiscal year 2020.
David Morton: Thanks, Frank, and good morning, everyone. We delivered strong results and executed our plan for the second fiscal quarter. Revenue grew 46%, and within this, subscription revenues accelerated growing 48% year-over-year and comprised 87% of total revenue. Service revenues were $11 million up from $8 million in the second quarter last year. Calculated billings of $89 million grew 46% year-over-year. To the extent we experienced any significant impacted FX, we will provide this amount to provide a better view into our business momentum. This quarter given the fact we do have some exposure to the GDP and with its recent volatility, we saw a 400 basis point FX impact to calculated billings this quarter. Taking this into account, our calculated billings would be 50% on an adjusted basis. Our Remaining Performance Obligations or RPOs represents the total booked or signed business within a quarter and we believe this provides a more accurate commercial view into the underlying momentum of our business. We exited the second quarter with RPOs of $516 million, up 56% over last year and representing continued acceleration at scale, compared to last quarter's year-over-year growth rate of 53%. This is also the highest quarterly growth rate we have achieved in RPOs over the past eight quarters, reflecting the strength we're seeing across the entire business from new customer acquisitions to large deal momentum and customers beginning to expand their business with us on an accelerated basis. Highlighting results from some additional key metrics. Our dollar-based net expansion rate or NRR was 121% and continues to track above 120%, underscoring our success and retaining and steadily expanding business with our existing customer base. In some cases, we're seeing customers expand on an accelerated basis or sooner than the 12 months driven by the growing awareness and value of enterprise Connected Planning. In these situations, our reported NRR does not fully capture these accelerated expand deals since the standard NRR calculation is based on a one-year look back. For the second quarter, the accelerated expand deals represented an additional 430 basis points in growth. Taking this into account, our NRR would be a 125% on an adjusted basis. We also continue to serve a growing base of customers with over $250,000 in annual recurring revenue, which this quarter was approximately 300 customers, up from 213 customers this time last year. And within this the number of customers over $1 million in annual recurring revenue grew 80% compared to the same period last year. Turning to our profitability metrics for the second quarter. Total non-GAAP gross margin was 75%, up 240 basis points on a year-over-year basis. Within this, subscription gross margins were 84%, up 200 basis points year-over-year and service gross margins were approximately 12%, down 180 basis points year-over-year. Total non-GAAP operating expenses were $80 million, up from $59 million in the prior period. Year-over-year growth in spending was primarily driven by strategic go-to-market investments and as mentioned on our last earnings call, second quarter operating expenses include costs associated with our Annual User Conference held in June. We continue to drive leverage in our financial model through productivity from the investments we have made over the past 18 months. Operating margins of negative 19.7% improved approximately 10 percentage points compared to negative 29.3% in the same period last year. We are demonstrating significant progress we're making towards our financial objectives on productivity and profitability. Our unit economics are healthy with LTV to CAC of 5x, contribution margins at 60% after year two and payback periods of less than 24 months. Net loss per share in the second quarter was $0.12 based on $130 million weighted-average shares. Free cash flow, which is cash flow from operations, less capital expenditures for the second quarter was positive of $1.5 million. We ended the second quarter with $356 million in cash and cash equivalents. For the third quarter fiscal 2020, we expect total revenue to be in the range of $85.5 million to $86.5 million and the non-GAAP operating margin to be in the range of negative 19% to negative 20%. Weighted-average share count for the third quarter is expected to be 133 million shares. For the full fiscal 2020, we are raising our revenue and operating margin outlook driven by the second quarter performance and the ongoing strength we see in our business. For the full-year, we expect total revenue to be in the range of $339 million to $343 million. As previously stated, calculated billings can fluctuate from quarter-to-quarter impacted by timing of renewals and transactions. However, we believe billings to track in line with overall revenue growth rates. We also expect RPOs to track in line with overall revenue growth rates and our net dollar expansion rate to remain above 120%. Non-GAAP operating margin is now expected to be in the range of negative 19.5% to negative 20.5%. Weighted-average share count for the full-year is expected to be approximately 130 million shares. In summary, we drove excellent operating results in the second quarter with strong continued topline growth and improved leverage in our business model. We're entering the second half of the year with significant momentum in our business as we're increasingly being viewed as a key strategic partner to our enterprise customers helping to drive greater value and agility in how companies run their business in a rapidly changing market. With that, we will now turn it back to the operator to take your questions.
Operator: [Operator Instructions] Your first question comes from the line of Sarah Hindlian from Macquarie. Please go ahead.
Sarah Hindlian: All right. Great. Thank you very much, and I appreciate you giving us the impact of FX on the billings number as well. That was helpful. One thing I really wanted to hear a little bit more about from you guys is your partnership with AWS? And maybe you can talk about the forecasting tool they released last week and how we should think about that and how it plays into the planning ecosystem?
Frank Calderoni: Sarah, this is Frank. Good morning.
Sarah Hindlian: Good morning.
Frank Calderoni: I’ll start by just talking about technology partnerships in general. I think we're in a fortunate position at Anaplan, where the platform that we've begun to create around Connected Planning is attracting a significant amount of attention with other technology companies wanting to partner with us in so many different areas. I think that bodes well not only for Anaplan, but I think it helps build the ecosystem that allows our customers to really leverage now and in the future. As it relates to AWS and the forecast, I'm not sure if you recall, but some of you attended our event back in June in San Francisco, our customer experience, we had Amazon and the team from Seattle that's been working on the forecast do a demo of the product in front of our customers and partners. I think that was a great showcase looking at the statistical modeling or I should say the stastical activity that they've created and how it connects into our platform. So it's a good example of a partnership with AWS in this case on behalf of customers to really continue to leverage technology that they're delivering. In this case, it's kind of ML kind of statistical modeling in with a platform that we have for our customers.
Sarah Hindlian: All right. Terrific. That's very helpful. And just a quick follow-up on the financial side, looking at the growth in total RPO and it looks like your bookings were up over 63% year-over-year. I'm wondering if you could help us a little bit with understanding the mix of current and total within RPO.
David Morton: Yes, we look at our current for the remainder of the fiscal year, and so that number will be approximately $150 million on the current basis, and remember that's just over a six-month window.
Sarah Hindlian: All right. That's terrific. Thank you so much.
Operator: Your next question comes from the line of Michael Turrin from Deutsche Bank. Please go ahead.
Michael Turrin: Hey there. Thanks. Good morning. I was hoping we could go back to the expansion rate, so I wanted to revisit that calculation you provided to get to the adjusted 125%. And then, just to think about that metric going forward, do you still sound confident in that 120% plus range? Can you just talk a bit more around what it is you're seeing that provides that level of confidence?
David Morton: Yes, Michael. This is Dave. I'll talk about just the generalities of the calculation itself, and then Frank can talk about just some of the customer expands we've seen. And so, if you think about the calculation itself, it really blocks out your current year, so you get without this 12-month look back. And so, if we're doing expands sooner within our own ecosystem, call it three months, six months, nine months, in theory you're not getting the credit for your NRR. And so for our case, as you know, not only our cohort of our ARR this year has grown almost 5x if you compare it to a cohort going back to like 2015, so you had a reacceleration of that ARR as well as we're seeing expands happening a lot quicker within our ecosystem. And so that's why we called it out in this instance, as we'll do so on certain metrics episodically just so you can understand some of the business momentum that we're seeing here.
Frank Calderoni: Michael, last quarter we called out the honeycomb, and I think it's getting a life of its own. I think just in general, but also with customers as you saw earlier on the call I mentioned that we're having customers now use the honeycomb approach to really start to think aggressively about how they can leverage the value that they're getting from the platform. I mentioned about the customer just this past quarter that within a week, they started creating their own honeycomb and really driving a large number of use cases. That's allowing for larger expands and faster expands, and that momentum has been the case for the last two quarters, Q1 and Q2. And I am anticipating based on what we see those customers doing that that will continue. I wanted to just throw out some other data just to kind of give you a perspective of the value that we're seeing from customers and what it means to Anaplan. If you think about the top 25 customers, the average ARR as of the end of the second quarter is now over $3 million and that's 7x higher than the initial ACV. So it illustrates customers that are starting on their journey. They're aggressively moving forward with their expansion of Anaplan. The top 10 customers, the average ARR is getting close to $5 million, it’s $4.7 million and that continues to increase each quarter, which is good to see. And then as we said on the call earlier, the average size of the top 10 deals in the quarter alone were over $500,000. So I think it's showing that the Connected Planning ecosystem within customers and across customers continues to be very positive.
Michael Turrin: Thanks. I'll always appreciate thoe extra data points. Maybe just a quick follow-up. Congrats on the addition of Mark Anderson. Any sense of key focus areas and responsibilities for that role? And what his skill set specifically brings to help enhance your own go-to-market efforts? Thanks.
Frank Calderoni: We're really excited about Mark joining the team. He's been on Board now for a couple of weeks. I think we all know Mark, he is highly regarded, he has an experience operating executives. You know, what I like about Mark and I've known him for awhile is he's operated in a similar environment to what we have here 2x before. So he brings that experience in a time for Anaplan as we're thinking about growing our business and scaling it above $1 billion. It provides a significant amount of leverage experience for the sales team as we continue to expand. His focus as you would expect, he's going to be focused on really building talent, helping us continue to refine our processes, so we can improve our efficiency, and then focusing on where else we're going to make our investment as we continue to scale.
Michael Turrin: Great. Thank you.
Operator: Your next question comes from the line of Heather Bellini from Goldman Sachs. Please go ahead.
Heather Bellini: Great, thank you. I just wanted to ask a little bit about linearity in the quarter. I was interested in what you saw and if there was any different than what you expected? And also from a competitive perspective, now that Workday has owned adaptive for a year. I guess a couple of questions there. Are you seeing that more in RFPs? I'm also wondering could they actually be helping to drive even more RFPs in the market than maybe what you used to see just given the number of salespeople they have? And how would you see your win rate versus them it has been trending? Thank you.
David Morton: Yes. Good morning, Heather. This is Dave. I'll take the first part of the question just on the linearity for the quarter and then Frank will address some of the competitive landscape overall. In regards to this quarter, very much like the previous quarters, we've just seen a continued momentum as we started the quarter with a good amount of pipeline, great visibility into that not only from the ecosystem of our AEs on the ground, but also through our strong partner economy if you will. And so all through the quarter things worked really well for us and we continue to be very disciplined in how we continue to go-to-market and drive the respective productivity measures across our whole enterprise.
Frank Calderoni: So Heather on the competitive environment, no change this quarter. Similar to what I said before, I think we have again a unique enterprise-wide planning approach, which enabled our customers as I talked about a few minutes ago. To really think about the platform more extensively within a function and even across the enterprise, which no one really comes in any close to matching. And as we continue to have, I would say larger lands, faster expands, it illustrates that importance of Connected Planning and it puts us in a very favorable position versus competition. So again, really no change. We have a very high success rate. Our strategy is to sell high in the organization, make it focus more on a transformational direction, finance transformation, digital transformation, supply chain transformation. And when we can do that especially when we're partnering with Deloitte, Accenture and so forth, that allows us to really have a very winning formula. The other thing I would just put out there as it relates to not so much competition, but it goes back to one of the examples I provided earlier. When you think about especially in the finance organization, a lot of the legacy applications that finance organizations have has been around for at least a decade or two. And we're finding that many customers are looking for alternatives to really kind of move off of those legacy applications and that provides us – if you think about the inventory that's out there, it does provide us with a tremendous amount of potential as we think about the next couple of years.
Heather Bellini: Okay. Great. And then just one more for Dave if you don't mind. Just given your exposure with over 40% of revenue outside the U.S., can you share those kind of any thoughts on how we should be thinking about deferred revenue trends for the upcoming quarter, I mean, given the [indiscernible] results for this quarter, like any commentary you want to share about how we should be thinking about sequentially the deferred revenue balance? Thank you.
David Morton: Yes. On the FX, look at the end of the day a lot of volatility came from the last month in July, specifically. And so as it relates for us thinking about our business model going forward, we should see relatively minimal impacts. But as far as deferred revenue and any additional narrative on that, I would call it de minimis as we think about how we continue to scale.
Heather Bellini: Okay. Thank you.
Operator: Your next question comes from the line of Brent Bracelin from KeyBanc Capital Markets. Please go ahead.
Brent Bracelin: Thank you. One for Frank and one for Dave if I could. Frank, obviously strong quarter here, accelerating subscription growth, accelerating kind of RPO growth, I guess my question really is less about the growth profile of the business that's very strong, and wanted to drilldown into the acquisition strategy, the broader M&A strategy, Mintigo isn't obvious from a marketing software perspective relative to kind of the fit and I get supply chain, I get sales, I get finance transformations, but it's a little less obvious to me the fit for Connected Planning and Marketing. So could you just talk about Mintigo, the product fit, what got you excited about that opportunity and the new use cases you're looking there? And then could you just touch on the broader M&A strategy given this is kind of the first acquisition you made here as a public company? Thanks.
Frank Calderoni: So good question Brent. So the first thing I would say, and I think for those of you who attended our CPX back in June that I can attest to and even goes back to the question we got from Sarah earlier about the Amazon forecast. Customers are constantly looking at ways to improve – as they think about the future and they try to model the future, they're thinking about ways to better forecast, where I get closest to the pin, especially with the dynamics that are going on in the world and especially in some of the industries that our customers are in. So it forces them to be much more on top of their business and the ability to react. So we've been working now probably for a good year and a half with a very large customers that have been with us now for about two years plus. On thinking of ways or working with ways with them, we've done some POCs to think about how they can better predict from a forecasting perspective and bringing in some of these AI/ML type of capabilities as I mentioned with Amazon forecasts. We've worked with some other technology partners to be able to do that and we'll continue to do that. One of the things that we've done as a result of the, let's say the POCs that we've had with customers is it requires a certain skill, right from a data scientist perspective. And so as we look out the landscape, there are a lot of companies that are working on AI/Ml. And so we don't intend to be specifically in that business, but we do see the alignment into our platform. We want our platform to capture whatever technology is best for our customers. Bringing in Mintigo, we were very impressed with the talent that the team has. They're based in Israel as we said on the call and they've got a team in several places in the U.S. as well, and that talent is the area that we are most interested in. Bringing the team on, accelerate our ability to do [indiscernible] with the POCs, but extends the amount of AI-enabled opportunities that we work with our customers on. So that was the primary objective for doing that. They have been focused in the sales and marketing areas. We're focused clearly much broader when we think about our portfolio. So we want to leverage their skill, the data scientist skill, so that we can do more on behalf of our customers from an AI enablement within our platform.
Brent Bracelin: Got it. Very helpful color there and it's very clear with the strategy. I guess, Dave, my follow-up for you is looking just at free cash flow. I kind of double check my numbers there. It looks like you guys generated positive free cash flow for the first time in the history of the company. So walk me through or are we at the point now where you can balance hyper growth and positive free cash flow or whether some kind of one-time items that you had a benefit there that we should not think about that going forward?
David Morton: Yes. Look, we're still on a invest mode and so I don't want to false set any expectations will be free cash flow positive from here on out. With that said, we're very judicious and good stewards of the investments we're making. We did have very good working capital management this past quarter, and we'll continue to do so. But with that said, we're still investing in all the opportunities as Frank and I have narrated on this morning.
Brent Bracelin: Got it. Very clear. Thank you.
Operator: Your next question comes from the line of Richard Davis from Canaccord. Please go ahead.
Richard Davis: Hey, thanks. Just one comment, so it sounds like Mintigo is like I just want to make sure I get that right. It's kind of like an on ramp to help your customers ingest more data. So that's one. And then the second one is kind of your sales go to motion, you guys are really good at FP&A that's oftentimes where you'd land. But how do you think about kind of evolving the go-to-market sales motion – right now at this point, if I'm a salesman and I get the client and I also in charge of doing the upsell or the cross-sell into sales ops and supply chain, or is this something that I hand off to the customer success team and/or how do you see that evolving? Thanks.
Frank Calderoni: Sure. So as far as the first, I wouldn't say it's a data ramp as far as Mintigo. Look at Mintigo as a group of very talented engineers that are going to be added onto our team for us to do more than what we've currently been doing to really accelerate the ability to bring AI into our platform for our customers more so I wouldn't look more into that than we just said.
Richard Davis: Okay.
Frank Calderoni: As it relates to – it's not getting into anything with the data or anything associated with that. If they get a core group of engineers that are helping us from a data science standpoint, do more than what we currently able to do so we can faster ramp some of these capabilities that our customers are working with us on. As far as the land and expand, the sales team that we continue to expand, grow I should say, rather than kind of get into that is responsible for the land. They're out there hunting for new opportunities with customers. They also manage the account. And so they also are part of, if you want to call it the honeycomb or the Connected Planning journey with those customers, they partner with our customer success team. So the customer success team is assigned a certain account. They work with those customers. They work with the CoEs that I mentioned before, or the Master Anaplanners that are within the customers that we continue to encourage our customers to invest in. And they continue to map out that journey and that honeycomb on a day-to-day basis, they align with the AE, the Account Executive, and they both work on the expands as appropriate for the customer. And then just layering on that, you also have a partner, so if a partner is working on, let's say, a transformational project, finance transformation, supply chain transformation, they're working with the customer with their consultancy to think about the longer-term journey, and we kind of aligned in with that with the AE and the BP on the customer's sell side to make sure that we have a seamless roadmap on behalf of the customer.
Richard Davis: Great. Thank you.
Operator: Your next question comes from the line of Terry Tillman from SunTrust Robinson. Please go ahead.
Terry Tillman: Yes. Thanks for taking my questions. I guess, first, yes, the User Conference that was great. Now the weather was a little hot, but yes, one of the things I enjoyed was just hearing from…
Frank Calderoni: Hot is good, hot is good especially in San Francisco.
Terry Tillman: No, it's okay. But I'm curious with the partner ecosystem, how often are they actually building IT or building apps that they can go monetize like the Deloitte example, and I wanted to then touch on that specifically with assortment planning. How meaningful is that now, because they were actually talking at the analyst events about the excitement they saw with that? Thank you.
Frank Calderoni: Yes. So now that these partners, Deloitte, Accenture, Wipro and even some of the others as well. They're investing in Anaplan – in their Anaplan practice as far as bringing on like consultancy experienced around Anaplan's platform. What they're now trying to do so they can enhance their go-to-market, but also go out and reach for new customer, new clients, but also offer existing customers examples of where they can do more with Anaplan is they are creating solutions. I would say in the last six months alone the large partners have developed a unique solutions that they go-to-market with, not just one or two, they were in the point of offering three, four or five. They continue – we just had a quarterly business review with one of the partners just last week and they talked about how they're using their in-house consultancy practice to bring customers or clients in to showcase some of those solutions and talk to them about implementing those solutions. So that's continued to expand. Some of them are available on our App Hub, probably the less sophisticated ones and others become more generally available or they may be more specific to a particular partner based on their proprietary IP or anything else that may come into the equation from that standpoint. So good traction, we continue to see that advancing as we think about the next couple of quarters.
Terry Tillman: Yes. I just had a quick follow-up that with your Chief Growth Officer addition. Like is there any low hanging fruit or any kind of early initial kind of initiatives he maybe focused on or we should think about as it relates to going into next year? Thank you.
Frank Calderoni: Just the everything that we've been working on from the standpoint of the growth, so we called them the Chief Growth Officer continue to drive the expands with existing customers and look for ways of expanding the territory in some of the Greenfield opportunities that we have in all geographies. And Mark comes in, he does a lot of outreach, he's very good at that, he listens and he is starting to calibrate right now kind of the path forward which is perfect.
Operator: Your next question comes from the line of Kirk Materne from Evercore ISI. Please go ahead.
Kirk Materne: Yes. Thanks very much all and congrats on the quarter. Frank, I was wondering can you just or maybe Dave, can you guys just talk a little bit about the makeup of sort of where the lands are coming from sort of a functional perspective whether it's sales, finance, and if that's changing at all, meaning I'd be curious to see if you're gaining traction in any sort of new area, whether it might be supply chain. I know you're not going to probably think quantitatively, but maybe qualitatively if you could just walk us through kind of what you're seeing on that front? Thanks.
Frank Calderoni: So if you sit back and look at overall, we're about 60% finance, and then 40% outside of finance. Yes, that's an average. I would probably say it's inching up, meaning the 40% is probably getting a little larger. And the reason for that is we're seeing a significant number of opportunities I mentioned on the call earlier that supply chain continues to be an area of interest of our customers. Last quarter, I mentioned supply chain across cosmetic industry customers, across spirit industry customers has been significant. We're now seeing that expand into other industries as well, CPG and so forth. We have if I think back over the past quarter and I look at areas where we've made some further investment in talent. I would have to say it's in supply chain. Working on these opportunities, we tend to work with partners that have expertise in supply chain and we've also added to our own bench of supply chain experts. And I have to say we've been very successful in the last couple of weeks attracting some really good talent to kind of work on this. So I'd say supply chain. The other area that I mentioned more broadly is workforce planning because when you think about most companies now are dealing with managing their resources more efficiently. They have a large numbers of resources, if you look at some of the cost metrics, they're trying to drive efficiency and so therefore there's much more attention to workforce planning across the enterprise. I think in the past, workforce planning has been something that was looked at within let's say finance or within HR. Now it's being looked at in all parts of the business and so workforce planning use cases that we've seen across different industries have kind of expand looking at how best do I leverage my resources from a portfolio standpoint across the enterprise. And so we're very helpful in working with partners and customers along that path.
Kirk Materne: And you sort of touched on this and this maybe dovetails a little bit with Terry's earlier question about partners, but when you partner up with a big SI, are you partnering from a functional perspective or is it more across your product suite meaning, as a big partner coming in and partnering with you really from a financials perspective and then expanding from there or I guess how is that evolving too, because it's multidimensional in some respects, so I was just kind of curious how that’s working?
Frank Calderoni: Yes. So the larger partners like Deloitte or Accenture are going to work with us across the enterprise. They're very strong in the transformational projects that stand multifunction. When you start getting into, let's say some of the boutique firms, they tend to have a specialty in a specific area, some have specialties in finance and so we'll work with them on that. Others, as I said a few minutes ago have specialties in supply chain. And sometimes, and I'm looking here just I brought this in this morning as far as just looking at some of the major expands that we had the past quarter. And as I look across, I start to see a kind of a mixture of partners, right, where you'll have a larger Deloitte or Accenture doing a transformational. And then you have in addition a little bit more expertise that may come from some of the boutiques. And so we do see sometimes a combination of a one or two partners working together.
Kirk Materne: Thanks very much.
Operator: Your next question comes from the line of Stan Zlotsky from Morgan Stanley. Please go ahead.
Hamza Fodderwala: Hi. This is Hamza Fodderwala in for Stan Zlotsky. Thank you for taking my question. So you mentioned the currency impact out of the UK earlier. You do have about 40% of your business coming internationally. Just from a fundamental macro standpoint, are you seeing any pockets of weakness in either Europe or Asia-Pac, either stemming from the trade tensions or some of the recessionary fears in Europe? And the second question is to what degree was FX headwind to a revenue growth in Q2 and your expectations for the full-year?
Frank Calderoni: When you look at the whole topic of digital transformation, which I think is an area of expertise for us. We have not seen any change and if I think about it in various industries or various geographies, so consistently across those industries and across those geographies, we continue to see strength. I can't really identify any weakness because I think back over the last couple of months and I've traveled. I've been in Europe, I've been in Asia Pacific, I mentioned about my trip to Japan, which I came back like on Cloud 9, just understanding and appreciating what the Japanese companies, global companies are thinking about specifically in supply chain, but even more broadly than that as they aggressively try to digitize. So no, I've seen strength in all our markets and that seems to continue based on some of the trends that we're seeing across the Board.
David Morton: Yes. And just on the FX for the topline revenue. To Frank's point, we look at it as just opportunities for the overall digital transformation. We really don't want to start narrating on a constant currency basis headwind as we actually view it as all opportunity as we continue to go forward. So I'll just say it was de minimis and the only reason we provided the other color was just to show the continued business momentum in our results for this past quarter.
Hamza Fodderwala: Okay. Thank you.
Operator: We have time for one last question. Your last question comes from the line of Pat Walravens from JMP Securities. Please go ahead.
Patrick Walravens: Great. Thank you and congratulations. I was wondering if you could talk about how long sales cycles are maybe in the upper market versus the middle market. And then also, I'm guessing they've been shortening, but I'd just love to hear any commentary in terms of sort of what the trajectory has been for them?
Frank Calderoni: So as you continue to expand and focus on sales team and the expansion that we've had over the past year, I'd say, cycles are improving as we get more talented people, as we continue to support that talent with partners as well as with various other support teams that we have in place. I would say that a couple of steps I'd put over half of our reps are still ramping. Let's say if I look back at the ramping reps, just some stats as far as just showing some of the efficiency, half of them have closed deals in the quarter, so those that are still ramping, and as we continue to add reps, that's a good sign as far as just showing some productivity, they don't have to go through the whole ramping process in order to produce results, which is a good sign. We're seeing a significant number of ramp reps perform this quarter, which is continuing to improve quarter-after-quarter, so I like the productivity improvement and goes back to some of the stats that Dave was talking about before when we talk about RPO, but also when we talk about LTV to CAC and things from that perspective. And I think as I mentioned now at least once or twice on the call with Mark on Board and the amount of experience that he has in similar types of ramping organizations, he's going to be another level of expertise to this. So I'm expecting that to improve even further. So good results across the Board ramped results, ramped reps – ramping reps, and we continue to bring new on and we're accelerating that pace going forward.
Patrick Walravens: That's great. Thank you.
Operator: Mr. Calderoni, I turn the call back over to you for closing remarks.
Frank Calderoni: I want to thank everyone for joining the call today. We look forward to continued dialogue at various events that we have coming up and also as we report our earnings next quarter. Thank you very much and appreciate your time and support.
Operator: Thank you. This concludes today's conference call. You may now disconnect.